Operator: Good day, everyone. Welcome to the Coca-Cola Enterprises fourth quarter 2009 earnings conference call. At the request of Coca-Cola Enterprises this conference is being recorded for instant replay purposes. At this time, I’d like to turn the conference over to Thor Erickson, Vice President of Investor Relations; please go ahead, sir.
Thor Erickson: Thank you and good morning, everybody. We appreciate you joining us this morning to discuss our fourth quarter and full year results for 2009. Before we begin, I would like to remind you all of our cautionary statements. This call will contain forward-looking management comments and other statements reflecting our outlook for future periods. These comments should be considered in conjunction with the cautionary language contained in this morning’s earnings release as well as detailed cautionary statements found in our most recent Annual Report on Form 10-K and subsequent SEC filings. A copy of this information is available on our website at www.cokecce.com. This morning’s prepared remarks will be made by John Brock, our CEO, and Bill Douglas, our CFO. Steve Cahillane, President of our North America Group, is also with us on call this morning. Following prepared remarks we will open the call for your questions. In order to give as many people as possible the opportunity to ask questions, please limit yourself to one question, and we will take follow up questions as time permits. Now I’ll turn the call over to John Brock.
John Brock: Thank you, Thor, and good morning everyone. Thanks for taking the time to join us. We welcome the opportunity to discuss with you our results for 2009 and our outlook for 2010 as we work to build on last year’s significant progress. We began 2009 in a very difficult economic environment. Guided by our global operating framework we worked to strengthen profitability as we responded to the ongoing challenges in the marketplace. That work clearly succeeded as we exceeded our growth expectations and achieved outstanding results for the year. We accomplished this by building on a combination of solid marketplace initiatives and strong execution and improved operating effectiveness Most importantly our success reflects the outstanding work of our employees and our leadership team to maximize our results in the face of very difficult operating conditions. Our people have demonstrated a consistent dedicated drive to make our company better through outstanding day-to-day marketplace execution, solid cost control, and the industry’s best service to our customers. This combination of skill and will to win made possible the excellent results we’re reporting today. As you read in our news release this morning we achieved comparable earnings per diluted share of $1.60 and comparable net income of $788 million. These earnings up more than 20% from a year ago are the highest in our history and demonstrate significant profit improvement in North America and a third consecutive year of strong balanced growth in Europe. Our profitability growth exceeds our long term target and enhances our ability to deliver on our most important objective, increasing value for our share owners. There were several key factors in these outstanding results. For example, we successfully executed key marketplace programs across our territories with a combination of solid execution and revenue management. This created our first year of consolidated margin expansion since 2003, reversing consistent gross profit margin declines. Long term, we remain committed to protecting or enhancing margins. In North America we also improved effectiveness of our operations through efforts such as Coca-Cola supply, which was created to maximize the total effectiveness the Coca-Cola system and to enhance supply chain synergy. Our selling and merchandising optimization program or SMO is a key element of our work to strengthen our go to market model by lowering inventory, reducing out of stocks, and aligning sales and supply chain activities to meet customer goals. For the full year in North America, net pricing per case grew 6.5% while volume declined 5%. Full year cost of sales per case increased 4%. Fourth quarter volume declined 3% while net pricing per case declined a 0.5%.These declines are due primarily to the mix impact of slower sales of still beverages and single serve packages. Bill will discuss the specific results with you in just a minute. Before I close our discussion in North America, I want to make it clear that we fully understand the long term importance of restoring volume growth. Overtime, we remain confident that we can generate an effective balance of volume and pricing growth in North America. This will require a combination of brand development, world class customer service, and even higher levels of marketplace execution. In conjunction with the Coca-Cola Company, we believe there are important opportunities ahead and we’re both committed to restoring this operating balance to North America. Turning to Europe, our success reflects strong results for each of our core Red, Black, and Silver brands with combined growth of more than 7%. Coca-Cola Zero grew more than 15%. We also had growth of approximately 70% in energy with the add distribution Monster and the continued development of Burn, Nalu and Relentless. In water, the addition of Schweppes Abbey Well in Great Britain and solid growth for Chaudfontaine created overall growth of more than 15%. These successful brands helped drive full year volume growth of 5.5% in Europe. Comparable net pricing per case grew 4%. This is an outstanding balance of volume and pricing growth. Overall, we’re confident that we have the brand and operating plans in place to capture the full value of the substantial marketplace opportunities ahead. Now as we look to the remainder of 2010, we continue to believe we will achieve profits inline with our long term growth target. In our release today, we have affirmed our currency neutral guidance of mid to high single digit growth in operating income with a high single-digit increase in earnings per diluted share. Given the economic challenges of our operating environment, reaching these earnings levels will require the continued success of key operating initiatives. We will drive even greater effectiveness, building on efforts such as Coca-Cola supply and optimization programs for finance and human resources. Our ownership cost management initiative will also continue to deliver cost savings throughout the company. In addition, we must continue to develop our brand and product portfolio and achieve ongoing success in marketplace actions that enable to us more fully capture the value of our brands. For example, in North America, we will complete the rollout of the 2-liter contour package, execute a variety of can and PET configurations, including sleek mini cans and continue to strengthen our revenue manage capabilities. We will also double the number of boost zones, which drive incremental volume and profit. In Europe, we will continue to improve our price package architecture to target specific customer and consumer needs. This will enhance inventory management, reduce out of stocks, and drive better promotional productivity. We will also continue to improve our brand portfolio, building on the success of our Red, Black, and Silver initiative and continuing to expand our presence in energy. In addition, we will continue to develop our still beverage offerings in part by expanding distribution of Capri Sun and Ocean Spray. Europe, which of course created the boost zone concept several years ago, will continue to add zones in 2010 with more than 70 additional zones planned this year. We also continue to link our corporate responsibility and sustainability or CRS efforts to our performance across our territories. We are embedding CRS in every function of our business and holding ourselves to a clear standard of success. This is our commitment in 2020, which outlines specific sustainability target including a 15% reduction of our carbon footprint, water neutrality, and recovering and recycling the equivalent of 100% of the packaging we place in the market. Going forward, we will continue to make CRS an integral element of everyday business decisions. Now, as we look longer term, we know that reaching our financial targets on a consistent basis is essential to continue driving improved share owner value. As you know, we made significant progress in 2009. We ended the year with a strongest balance sheet in our history with lower debt and strong free cash flow. Based on this success, we announced plans in 2009 to rebalance the use of our free cash flow toward increasing returns to share owners. Our plans include the repurchase of up to $600 million of our shares by the end of this year. In addition, we expect to continue to implement the type of consistent dividend increases that have allowed us to double our dividend per share over the past three years. Our ability to reach the goal of increasing share owner value is strengthened by our relationship with the Coca-Cola Company. More and more, we share a similar approach to the market through operations and the customer service. We will continue our joint efforts to strategically he align our system. One example is the incidence pricing model that we and the Coca-Cola Company implemented for North America in 2009. This model demonstrates our combined commitment to win in the marketplace and it improves the alignment between our linked North American marketplace the interest. We are pleased with its success and have mutually agreed to continue an incidence model in 2010. This model is but one factor behind our confidence in our 2010 outlook. We believe we can achieve results in line with our long term growth objectives through our operating plans, our brands, and most importantly, the talent and drive of our employees. We have a great team that proved in 2009 that they can deliver impressive results despite the demands of a changing industry and volatile economic conditions. The strengths of our people, couple with the greatest beverage brands and product in the world and sound operating principles leaves us optimistic about our future. Even as we face current challenges, we see significant opportunities for growth and for enhanced share owner value. Thanks again for joining us today, and now I’ll turn the call over to Bill for a review of our financial results.
Bill Douglas: Thank you, John. I’m pleased to provide more detail on our full year 2009 results and our outlook for 2010. 2009 was year, highlighted by record profitability and very strong free cash flow. As you read this morning, on a comparable basis, fourth quarter earnings per diluted share was $0.22 while full year diluted EPS was $1.60. Revenue for the year grew 3%, excluding the negative currency impact. For the full year, comparable net income was $788 million with a negative currency impact of approximately $0.15 per share. Fourth quarter results include the negative impact of four fewer selling days offset by currency benefit of approximately $0.01 per share for the quarter. Let me add one quick note on the fourth quarter in North America. As John mentioned, net revenue per case declined one-half of 1% for the quarter. This decline was driven primarily by the mix impact of reduced sales of higher priced still drinks and single-serve beverages. In addition, the 5% decline in cost of goods sold per case was driven primarily by year-over-year declines in commodity costs, though there was some mix impact. The mix impact includes a relative decrease in the sale of purchased finished goods and an increase in the mix of lower priced cans. Looking at commodity cost for 2010, we would expect cost versus ‘09 to be flat to down slightly. Now, looking again at our positive 2009 results, we also achieved strong full year free cash flow of $872 million. This number includes incremental pension contributions during the year of approximately $300 million. The primary factors in achieving this level of free cash flow include solid praying operating income improvement as well as benefits from working capital. During 2009, we continue to use free cash flow primarily for debt reduction. As a result, net debt at the end of the year totaled $7.7 billion, our lowest debt balance in more than 13 years. With a cash position of just over $1 billion, we began 2010 with our strongest balance sheet ever. As you know, in December we announced a change in our approach to the use of our free cash flow going forward. While in the past years, we have focused on debt reduction, we are now well positioned to diversify our use of cash and begin returning additional funds to share owners. In fact, we expect that current cash on hand, coupled with the expected free cash flow over the next three years will provide more than $3 billion in available cash for a combination of share repurchase, debt reduction, increased dividends, as well as potential acquisitions. As we also announced in December, we intend to repurchase up to $600 million of our common stock by the end of 2010. Repurchased shares will be added to treasury stock and made available for general corporate purposes including acquisition financing and the funding of various employee benefit and compensation plans. These share repurchase plans may be adjusted depending on economic, operating, and other factors including acquisition opportunities. We will update you on our progress of our share repurchase plan during our first quarter earnings call in April. In addition to share repurchase, we also expect to continue to consistently increase our dividends annually. So despite the challenges created by continued macroeconomic weakness, our results in 2009 were strong. The key elements of these results were solid margin expansion, driven by the success of marketplace initiatives in both Europe and North America, much improved effectiveness. Perhaps most importantly, our employees continued to perform at very high levels, with an unyielding customer focus, an intense dedication towards improving our company each and everyday. As we announced this morning, we have affirmed our prior year guidance for 2010. We continued to expect EPS growth in a high single digit range excluding currency impact. We expect this growth to be somewhat weighted to the back half of the year. At current exchange rates, currency would have a negligible impact on EPS for the full year. This does represent a change our view from December when at that time we expected $0.04 of favorability based on current FX rates at that point. We continue to expect operating income to increase in a mid-to-high single-digit range with mid-single digit operating income growth for North America and Europe. Total revenue should increased at low single digit rate with mid single digit growth in Europe and essentially flat revenue growth in North America. We continue to expect strong free cash flow of approximately $800 million, and capital expenditures of approximately $1 billion. Interest expense will decline modestly and the effective tax rate for 2010 is estimated to be approximately 26%. We are confident in our outlook for the year, though we remain cautious about ongoing impact of weak economic conditions. Key channels, particularly the on-premise channel, continue to be soft. While these factors are integrated in our current guidance, additional deterioration in economic trends could impact full year results. Long term, we remain committed to achieving our growth objectives of 4% to 5% revenue growth, 5% to 6% operating income growth, and high single digit earnings per share growth. In closing, we remained focused on the value drivers designed to protect margins, manage volume, and value growth, improve free cash flow, deliver on our long term objectives, and most importantly, continue driving share owner value. That wraps up our prepared remarks. Again, like to thank you for joining us today. Now we will be happy to open the line up for questions.
Operator: (Operator Instructions) Your first question comes from Lauren Torres - HSBC.
Lauren Torres - HSBC: I know you’re choosing not to give volume and price guidance by division, but I was just curious, coming off your comments with respect to the more balanced volume and pricing longer term. How is you’re thinking about this year. Should we expect some volume growth in North America? With that said, I am thinking about pricing this year, considering that the consumer environment still is quite soft, the plans that you may have had in place, or as you started to think about this year last year, if you feel that you could still be on target with your pricing plans.
John Brock: Let me ask Steve to talk about volume and pricing in 2010 in North America and then I will make a couple of comments about Europe.
Steve Cahillane: In terms of 2010 we would expect it to be a much better performance than 2009. In terms of pricing, we’re confident that we’ll realize our pricing plan of about 2% to 3% overall pricing growth in North America. In terms of how that will equate to volume, we are striving to get to flattish performance, obviously that will require the economic headwinds to relent a little bit. The biggest issue we face is some channel shifting on premise continues to be very, very difficult, but in the fourth quarter, we saw some mitigation of the overall trends in future consumption where, if you look at our Red, Black, and Silver performance in fourth quarter was actually flat. So, is all that being said, we would say 2% to 3% pricing growth in North America, and striving to flattish performance in terms of volume.
John Brock: Thanks, Steve and turning to Europe, our view is that Europe looks all set to have another year of balanced volume and pricing growth. We’re very pleased with what happened in 2009, and it was everything from our brand portfolio, our channel approach, our customer focus, and it all worked. In 2010, we’ve had some very successful customer discussions early on in the year here, and believe that we are locked and loaded for another very solid year. We’ve got great brand plans; we have got World Cup activation coming that’s going to be nothing short of awesome, in terms of both customer and consumer activation. So, again, we think the kind of strategies that work so effectively in Europe. In 2009 will be following exactly the same ones again in 2010 and I would like to think that we’ll have a fairly similar result.
Lauren Torres - HSBC: Do you think that is 5% to 6% growth that we saw in Europe last year’s sustainable as we think about this year?
John Brock: Well, again, as you heard us say, we manage in terms of revenue growth as opposed to volume, per say, but I think the kind of overall revenue growth we in Europe, as we apply our various levers, should result in a very similar kind of pattern in 2010.
Operator: Your next question comes from Judy Hong - Goldman Sachs.
Judy Hong - Goldman Sachs: Bill, a couple questions, first in terms of the Europe profitability in the fourth quarter, it is came in much lower than I think what’s been running in the first three quarters of the year, and even if you consider the calendar shift, it just seems like it was much weaker. So, can you maybe help us understand what happened in terms of the profitability in that region?
Bill Douglas: Sure. I will talk specifically about Europe and also about the company overall. You did highlight what would be the first item I would be talk about out of the boxes we did have four fewer selling days in Q4 ‘09 versus Q4 ‘08. We also were cycling a relatively strong Q4 in ‘08, so that’s affecting it. We did have some FX unfavorably from an SG&A perspective in Q4. We also were affected by the deleveraging also in the OpEx from the four fewer selling days. Gross margin did perform well, and given all those factors and given the very strong year that we had, we have the opportunity and we choose to make some investments in the fourth quarter for continued sustainable growth in 2010 and beyond, and then lastly we had some timing of certain employee benefit items, true-ups, as well as increased variable costs due to our very strong results for 2009. So, again, a lot of underlying issues there, but none of them of a nature that we’re concerned of having ongoing impact in 2010.
Judy Hong - Goldman Sachs: Then Bill, in terms of commodities, given that in the fourth quarter your cost per case was down 5% in North America, I’m just wondering whether your guidance, flat to down slightly is too conservative and maybe we could even see a better trend there. Then just in terms of how that flows from a calendarization perspective, do you get more of the benefit in the first half, and why doesn’t that then help EPS, because I think you said EPS is a little bit more weighted to the back half than first half?
John Brock: If you look at commodities, the fourth quarter impact and what we’re going to see in 2010 as well is affected by the underlying commodity market as well as our hedging position. So that’s affecting the quantum of the change a little bit in Q4. We were rolling off most of our hedges. We do have hedges in place for 2010. Europe, commodities again all this is going to be excluding PET by the way, which we don’t have a very effective method of hedging, but Europe is pretty much covered for the majority of their commodity exposure excluding PET for 2010. North America is plus 50% covered. So given all that, we feel pretty confident about flat to down slightly in our core commodities. We also hope that things will have some up side there, but given where we have issued cover to-date and current market rates, we think that’s a reasonable prognosis.
Operator: Your next question comes from Kaumil Gajrawala - UBS.
Kaumil Gajrawala - UBS: Can you be a little more specific on the net revenue per case? Maybe precisely, how much impact came from mix and then if there are any specific brands such as vitaminwater or Powerade or any tactical decisions made on would let to the decline in total net revenue per case?
John Brock: Are you talking about fourth quarter in North America?
Kaumil Gajrawala - UBS: Yes, fourth quarter, North America.
John Brock: Do you want to comment on that Steve?
Steve Cahillane: Sure. Essential if you remove mix from the equation, Kaumil, pricing would actually be slightly up in the fourth quarter. We also saw margin expansion for the fourth consecutive quarter in a row. So we’re pleased about that. You also have to keep in context, we’re cycling virtually a double-digit price increase from the prior year, and as I said on top of that we’re realizing 2% to 3% price increase, we will realize 2% to 3% price increase in 2010 based on the price we’ve already got on the marketplace.
Kaumil Gajrawala - UBS: Anything on any specific brands impacted to mix?
Steve Cahillane: It continues to be a shift. Sparkling, as I said is doing very well, compared to where it’s been in the last couple years? Still beverages overall, especially case pack water, which is not very profitable to begin with continue to be under great pressure, but as we said last time we met, we’re not interested in selling a whole lot of case pack water and losing money while doing it. We the to focus on the building Sunny brand and immediate consumption and growing the Sunny reason for being, but selling very cheap case pack water is not in our interest or the company’s interest.
Operator: Your next question comes from Bill Pecoriello - Consumer Edge Research.
Bill Pecoriello - Consumer Edge Research: Two things I just wanted to clarify, one on the mix. Do you see 2010 still getting about 1% drag on the mix, off of that 2% to 3% rate you’re taking? You’ll be lapping some of the decline in the finished goods to maybe that moderates a bit? Then just on the SG&A lines, Coke had talked about maybe exceeding the 150 million supply chain savings programs. Anything we should think about in 2010 on the SG&A leverage regarding that or pension or any other items moving to that line? Thanks.
John Brock: Bill, do you want to take the second one of those first, and then we’ll comeback to the first one.
Bill Douglas: If you look at the SG&A and all of our initiatives, we are well on track, and we are confident that we’ll achieve our 2010 objectives run rate of all the various initiatives, including Coca-Cola supply. I think we are very pleased with the results from Coca-Cola supply in year one and highly confident that we will deliver the anticipated savings in year two. There probably is some up side, but I think the up side will probably come in year three and four, as we continue to benefit from that, but I don’t think we’re going to see a material incremental benefit in year two, but we’re highly confident that we’ll deliver all savings that we had planned, when we announced all these initiatives, as well as continuing to benefit from our OCM objectives in North America and Europe.
John Brock: Steve, you want to answer the first one of those questions?
Steve Cahillane: Yes. Bill, I think you’re broadly inline. It might be slightly less than that, particularly as we continue to focus on vitaminwater, Zero launch, 20 ounce, revitalization, 14, 16 ounce, immediate consumption, but overall we’re confident we’re going deliver an overall realization of 2% to 3% pricing this year.
Operator: Your next question comes from John Faucher - JP Morgan.
John Faucher - JP Morgan: So a quick question on the gross margin line and cost of goods sold line. I apologize, if you guys already spoke about that. Can you talk about the impact to the finished goods business going back to Bill’s question from a mixed standpoint and sort of try to give us an idea in terms of how much of the favorability in cost of goods per case was from the lower mix and again, sort of whether we should expect that to continue in 2010.
Bill Douglas: Broad estimation, about two-thirds of the impact was due to rate on commodities, and about a third would have been due to the mix impact of the finished goods business.
Operator: Your next question comes from Caroline Levy - CLSA.
Caroline Levy - CLSA: Just looking at market share, I wonder, if you could talk about how that looked in sports drinks CSDs, I have to imagine you’re continuing to gain, but if you could talk to that a little bit? Wal-Mart has dropped some branded players from other categories, and I know you don’t comment specifically on one customer, but if you could give us a sense of any big shifts you’re seeing is in retail would be helpful.
John Brock: Let me just make a comment about Europe, where we’ve been very pleased. We’ve gained value and volume share in both NARTDs and sparkling throughout the whole year. So it’s been a really terrific result with share gains all the way around. Let me ask Steve to comment about North America.
Steve Cahillane: It’s pretty much the same story in North America. In sparkling and still we had a very strong value and volume share performance in 2009. You’ve mentioned isotonics. We did have a very good performance share-wise, and isotonics, a lot driven by the terrific success of Powerade Zero. We’re seeing that continue into the beginning of 2010, so we’re continued to be optimistic that our share performance value and volume wise will continue strong. We’re also seeing importantly, a mitigation of some of the private label gains that we saw, really through the first sort of seven, eight months of last year. They started well and have kind of evened out where they are. So all in 2010, we’re confident that even with a rational pricing environment, we’ll continue to perform well based on the terrific programs we have in place, everything from the Olympics to the continued success of American Idol, March Madness, World Cup, which John mentioned. We have a terrific calendar of events in 2010 that will help us continue to drive the value of our brands, and therefore continue to help us perform well in terms of share.
Caroline Levy - CLSA: On the retailers?
Steve Cahillane: What was the question on Wal-Mart? You mentioned Wal-Mart in particular, but I wasn’t quite sure.
Caroline Levy - CLSA: Well, Wal-Mart’s actually dropped a couple of brands, or say they will drop glad bags and Ritz crackers and some household name stuff. I’m just wondering if you could talk about whether you’re seeing any of your discussions with retailers, in particular Wal-Mart, obviously, whether they are talking about certain categories, going down to one brand?
Steve Cahillane: We haven’t seen that in our it category, the only example is in case pack water, where Wal-Mart has been a little bit more selective and exactly what they want to carry and what they will carry. We have experienced very good year with most of our retailers in 2009. We’re building joint business plans. We have built joint business plans with all of them for 2010, and we’re confident again with all the programs we have in place and the good work we’ve done with our retailers that we’ll continue to win volume and value share with all of our important retailers in 2010.
Operator: Your next question comes from Alec Patterson - RCM.
Alec Patterson - RCM: Bill, just quickly, the European COGS per case took a step up ex-currency. I was wondering is that simply due to cross rates, or is there something else going on there in a materials sense?
Bill Douglas: Alec, the answer is really no. We had a little bit of volatility in the fourth quarter, that it was principally due to FX. That going forward in 2010, we would expect the commodities in Europe to be flattish, and again with the pricing that we have in the marketplace, we would expect modest gross margin expansion. As I mentioned earlier, we’re more or less hedged for most of our requirements for the full year with the exception of PET, so we feel pretty good about commodities in Europe.
Alec Patterson - RCM: So cross rates, a small factor in Q4, not really a factor going forward to sum…?
Bill Douglas: Nothing that we’re concerned about for 2010.
Operator: Your next question comes from Damian Witkowski - Gabelli & Co.
Damian Witkowski - Gabelli & Co.: Did you quantify the impact from Costco business, the loss of a month or so selling there?
Steve Cahillane: I think the most important thing is that we solved the issue that existed between Costco and ourselves finished the year strong with them and are off to a strong start in 2010 with this very important customer. In terms of the overall impact of losing a couple of weeks with them, obviously it’s nothing that we ever want to see happen with a customer, but it was not material to our results.
Damian Witkowski - Gabelli & Co.: I know you don’t like to comment on a single customer, but it was there any in your resolution, was there any shift in terms of what brands or what you are going to sell there, just walking the local Costco, I haven’t seen Coke brands that I used to buy there?
Steve Cahillane: You should see those same Coke brands of use to buy there, but we really don’t like to comment individually about specific customers.
Damian Witkowski - Gabelli & Co.: If I can ask a broader question on, seems like the sugar beverages tax, the focus has shifted from the federal level where it didn’t get implemented to now state levels and Europe in particular has proposed in their budget a $0.01 per ounce tax on sugared beverages and I know it’s hard to know what’s going to happen and if the passes or not, but what are your thoughts in terms of what potential impact on demand could be from a tax like that if you do pass it on to the consumer?
John Brock: Let me comment on a bigger, broader basis that we’re pretty optimistic about what has happened so far and the rational, saint thinking that’s prevailed in Washington around the soda tax, and while there are some situations, and you mentioned New York state, that’s certainly one of them, where people are talking about this and frankly we have some of the same issues in Europe. We as a company and as an industry are really committed to making sure that lawmakers and regulators understand just how unwise that approach is, and frankly, are committed in the industry to make sure he we do everything reasonable, possible and practical to see that it doesn’t get enacted. We don’t spend a lot of time to thinking about what if, because we are confident that sane minds will prevail and it won’t be put into place.
Operator: Your next question comes from Caroline Levy - CLSA
Caroline Levy - CLSA: Bill, I wonder if you could talk about where you plan to spend the billion dollars in CapEx, and is that a slight increase from what you were previously expecting and something about cold drinks versus normal plant and equipment stuff and then secondly, on share repurchases, do you expect to do that evenly through the course of the year and other words, will you be in the market shortly?
Bill Douglas: On CapEx, Caroline, the $1 billion for 2010 is consistent with what we had anticipated spending all along. We actually ramp our CapEx spending down slightly in 2009, given the challenging macroeconomics that we saw of the box. So a slight medium increase over 2009, but very consistent with the trajectory and our spent targeting 5% approximately of net sales revenue, so again, nothing unusual there. The way and how we’re spending the CapEx continues to be very similar to what we’ve done in prior years. You are going to have approximately a third or a little more than a third in supply chain infrastructure, warehouse expansion, product capability, packaging capability in North American actually capacity expansion in Europe, about a third or a little more would be spent on cold drink equipment, both in Europe and North America. As we continue to rollout boost zones, and then a little less than a third on fleet and IT and all other infrastructure. Moving to your question on share repurchase, it would be generally, ratably over the year, but probably a little bit aligned to the cash flow. Again, we’ll talk more about that specifically on the April call, once we’ve initiated the program.
Caroline Levy - CLSA: Then if I might, just on your accounts payable, looked like the days were up a lot. I don’t know if there’s anything on the balance sheet that you can call up that may explain that change?
Bill Douglas: Well, we’ve been working hard on managing our working capital over the last three years. So we’ve been work on our total cost of ownership for our input, not just costs, but also terms and then you also have some increases in variable compensation as we accrued higher incentive payments, to be quite honest for 2009, given our results versus little to no incentive payments on our balance sheet at 12/31/08 given our results in ‘08.
Operator: Your next question comes from Alec Patterson - RCM.
Alec Patterson - RCM: John, I was wondering if could you share at least some qualitative thoughts, after a year of working through a new program with incidence model, what did you learn from implementing it, how is it in potential evolving to be better fitting your revenue manage model going forward? Any sort of progress on that model that you could talk about.
John Brock: Yes, let me make a macro comment, and then I’ll ask Bill to comment a little bit more on the specifics. The whole concept of incidence pricing is to get our sales in the Coca-Cola Company more inline with each other, so that products, and packages, and channels are equally important to both of us, and that worked. It worked exceptionally well. In 2009, we found that by having a similar kind of incentive to go after packages and product, it really figuring out how to invest in the marketplace and how to drive volumes a lot more logical and so we worked together a lot more effectively, and we’ve put the same program back in place for 2010. Bill, do you want to comment a little bit more on the specifics?
Bill Douglas: Yes, the overarching comment, Alec, is just better alignment top to bottom particularly in the field organization. They’re not worried about that and working with our colleagues at Coca-Cola, North America really executing end market promotions and packaging innovation. The whole price package architecture initiative, I think has just been really buoyed by the incidence model, 2-liter contour, slim cans, 12 ounce multi-pack PET bottles, the $0.99 16 once PET, all of those were enabled and fueled by the incidence model. I’m sure we would have been able to do it without it, but I don’t think it would have been nearly as successful as quickly as it was or gotten the speed of rollout that we done 2009 without the incidence model, and we’re confident that’s going to in the 2010 as we complete the play on all those price package initiatives and hopefully come up with some more going forward that will be having in the market late ‘10 and into 2011.
Alec Patterson - RCM: So Bill, is it correct for me to assume that the effective revenue per case that you guys generated in North America is effectively what flow through to how concentrate was paid for, sort of netting out all the unusual marketing events and stuff like that but, so to speak, keeping it incident, did that play out? Is that how we should think about how the concentrate component of your cost of goods flowed?
Bill Douglas: Well, again, 2009 was the year of conversion. So we set an incidence rate based on a budget, which we were in a very tight corridor with our pricing initiatives. I will not comment specifically on that. I think I’ll leave that for KO to comment on, but as we continue to that program into 2010, once it’s stable and going forward, I would answer absolutely yes, as we take placing in the market, the concentrate would track that pretty closely.
Operator: Your next question comes from Mark Swartzberg - Stifel Nicolaus.
Mark Swartzberg - Stifel Nicolaus: Steve, Peace Tea, can you give us some thinking on how you think that brand is going to perform for you?
Steve Cahillane: Peace Tea, we just launched. So it’s still very early days, little too early to comment about the long term potential of it, except to say everything we’ve seen so far leads us to believe that our initial assessment that, it’s got potential to be a big winner remains true. If you want look at the Peace Tea, SKUs that we have in the marketplace right now. When you look at Arizona Teas, SKUs and [Rankam], Peace Tea start to hit those ranking numbers. So it’s outselling some of the slower selling Arizona. SKUs, which is exactly what we had in mind, when we launched and exactly what we had planned for it, so we’re pretty optimistic and happy with its performance so far.
Mark Swartzberg - Stifel Nicolaus: Then in a similar, John, the Monster brand in Europe, can you give us some thoughts on the outlook there?
John Brock: Monster has done exceptionally well in Europe. As you heard and say earlier, we’ve had a volume increase in energy between Monster and our existing brands of almost 70%. So we’re very pleased about what we’ve done so far, and we are equally excited about 2010. We think we’ve got some good programs behind all those brands, Burn and Relentless and Monster. So we aim to continue driving the profitable energy business in Europe, and we think we’ll do so successfully.
Operator: Your next question comes from Judy Hong - Goldman Sachs.
Judy Hong - Goldman Sachs: Just clarification, you talked about your guidance in North America calling for flattish revenue and then I think, when Steve answered one of the question, he said, he’s looking for volume to be flattish and price to be up 2% to 3%, and even if you take into consideration some mix drag, it sounds like you’re thinking North America could be up in terms of revenue? So I’m just trying to reconcile those two comments.
Steve Cahillane: Yes Judy, when I said flattish volume that’s a little bit aspiration. Right now the models, which suggest a 1% to 2% decline in volume, but we are stretching and aspiring to get to flattish volume based on 2% to 3% pricing in the marketplace.
Judy Hong - Goldman Sachs: Then Bill, just in terms of the operating leverage in North America for 2010, because if we think about pricing up 2%-ish and volume down a little bit, and you get the cost favorability, it seems like you are embedding some incremental operating expenses in 2010. So am I thinking about this correctly and if so, then what’s driving the incremental operating expense increases?
Bill Douglas: There’s nothing significant in there. I think we’re going to a normalized run rate of gross profit and very similar maintenance of OpEx spend to deliver the mid single-digit growth that we’re expiring for. So nothing that would highlight at this juncture.
Operator: Your next question comes from Caroline Levy - CLSA.
Caroline Levy - CLSA: A couple of questions, when does water potentially stop being a drag in the sense that you start lapping, where you’ve actually decided to pull out of certain channels or whatever? Secondly, if the consumer stays weak for another four to six months, is there more you can do to protect single serve or drive a recovery in single serve on premise, etc.? Is there more that you could do?
John Brock: Let me just comment by saying water is not a drag in Europe. It’s a great business for us, because fortunately, we’re not in the price driven water business in France, fortunately and we’ve got Abbey Well and Chaudfontaine, two brands that are doing extremely well, grew 15% last year and are profitable. So water can be profitable. Europe is a good example of that. Steve, you want to comment about North America?
Steve Cahillane: Yes. It’s hard to tell exactly what the future holds for water longer term. We will start lapping some of those big declines, as you mentioned, Caroline, but we’re focused on selling water and selling water profitably. Smartwater for example, continues to be a growth driver for us, does extremely well. In terms of Dasani, we’ve got some terrific initiatives, plant bottle being one, which basically attacks the whole environmental issue head on, so we’ve got that working for us. So we have some reason to be cautiously optimistic about the water business going forward and of course, you get into enhanced water, where we have a strong leadership position, and the story just gets better and better. In terms of your question about what we can do to mitigate some of the economic trends that we see out there, if they continue for the next four to six months, which, by the way, we are forecasting that they will continue, and are prepared for that, as John mentioned in the opening, we’re doubling the number of boost zones that we have in North America from roughly 50 to more than 100 right now. They’ve proven to be very, very successful, and they help us sell our higher margin immediate consumption brands. So that’s working very well for us, the Fountain Harmony program that we’re working together with the Coca-Cola Company is right on track and that’s delivering results, and again, in the important on-premise immediate consumption channel. Overall, the things we’re doing to help fuel our growth through Coca-Cola supply, through the incidence pricing model, which Bill mentioned, and all the incremental price package architecture programs that’s started in 2009 and continue in 2010, give us reason to be further to be more optimistic. Especially, things like 2-liter contour as we take that through the rest with the country, it’s proven to be a huge success for us, and the continuation of entry level pact $0.99, which really speaks to consumers who have pressures on their disposable income. So we think we’ve got to right programs in place at the right time directed at consumers who are challenged. So we’re ready for 2010. We’re forecasting continued challenges, but optimistic, we’ll overcome them.
Caroline Levy - CLSA: How 2-liter contour is in how much of the country?
Steve Cahillane: It’s in about a third to the country right now and we have plans to roll it out throughout the rest of this year, and we’ll finish off in the West Coast. So we’re basically, think of it as an infantry March from the Eastern Seaboard to the Western Seaboard.
Operator: Your next question comes from Lauren Torres - HSBC.
Lauren Torres - HSBC: Just curious to get any updated thoughts with respect to acquisitions. It seems like maybe you’re positive about the environment now and the ability to make some more acquisitions. So curious from the brand portfolio front or by territory, how you’ll think about building out your business? Also curious, if these initiatives are just ticking on by yourself or everything you’re looking into is done jointly with the Coca-Cola Company?
Steve Cahillane: Well, let me comment on that. As Bill has already said, we’ve got more financial flexibility than we’ve had in a long time. Our plan is to, assuming there aren’t good acquisition opportunities we’ll be returning cash to share owners, but we certainly remain willing and ready to look for particularly ways of geographically expanding and that obviously could be acquisition of territories in the United States, or it could be acquisition of territories in Europe and we remain open to both. We believe there has to be a value equation there that makes sense. Otherwise, we’re not going to invest, but we would be very open to any and all discussions, frankly, in North America, or in Europe, and you don’t have to be a brain surgeon to know where the territories are. They’re out there, and I think you’ve made it pretty clear to all the various parties out there who are potential sellers that we’re potential buyers, but the value has got to be right. In terms of anything beyond geography, we would have to look at that on a case-by-case basis. I mean, I think it’s fair to say, we don’t see ourselves principally as beg a brand owner. We rely principally on our sister company, the Coca-Cola Company for that, and we feel like we’re working together with them very effectively right now. We talk with them regularly about ways we could enhance our brand portfolio through things we might either do together, or where we could be highly supportive of them. So, I’m obviously not in position to comment on those other than the fact that there are places out there where it would make sense. Again, we remain willing and ready.
Lauren Torres - HSBC: In the past, I know you’ve mentioned GAAP in the portfolio, but it seems like you’re more excited about what the Coca-Cola Company is offering. So I guess that’s still the way you feel with respect to filling those gaps?
Steve Cahillane: Yes, there are fewer gaps in the portfolio today for sure they were four years ago. We’ve made huge progress, there’s always more progress to be made and so, believe me, we talk regularly with the Coca-Cola about some of those opportunities, and we’ll continue to do so.
Bill Douglas: Operator, I think we have time for one more question, please.
Operator: Your final question comes from John Faucher - JP Morgan.
John Faucher - JP Morgan: Just trying to figure out that the guidance for first half versus second half, is it basically what consumers weak, maybe comps are little bit tougher in the extra spending sort of heading into the World Cup with all the boost zones and all these other things? Is that the right way to look at the first half versus back half guidance?
Bill Douglas: I think, John, generally yes. You’ve also got a situation where we had a very strong first quarter last year. We have one less selling day in Q1 then we had last year, and then you also have a situation in North America, where we’re taking the our pricing post Super Bowl. Obviously, in the mark now, so that’s going to benefit the back half as it gets stabilized and we get it for the full period of time and we’re talking about modest shifts here, too, not dramatic.
John Brock: Thanks to all of you for joining us today. We appreciate your time and hope you all have a very nice day. Thank you.
Operator: Again, ladies and gentlemen that will conclude today’s call. Thank you once more for joining us. Again, have a good day.